Operator: Hello, ladies and gentlemen. Thank you for standing by for 36Kr Holdings Inc. Third Quarter 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. After management's remarks, there will be a question-and-answer session. Today's conference call is being recorded.  I will now turn the call over to your host, Yang Li, IR manager for the company. Please go ahead, Yang.
Yang Li: Thank you very much. Hello, everyone, and welcome to 36Kr Holdings third quarter 2021 earnings conference call. The company's financial and operational results were released earlier today and have been made available online. You can also view the earnings press release by visiting the IR section of our website at ir.36kr.com. Participants on today's call will include our Co-Chairman and CEO, Mr. Dagang Feng and our Chief Financial Officer, Ms. Lin Wei. Mr. Feng will start the call by providing an overview of the company and performance highlights of the quarter in Chinese, followed by an English translation. Ms. Wei will then provide details on the company's financial results before opening the call for you questions. Before we continue, please note that today's discussion will contain forward-looking statements made under the Safe Harbor provisions of the US Private Securities Legislation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties. As such, the company's results may be materially different from the views expressed today.  Further information regarding these and other risks and uncertainties is included in the company's prospectus and other public filings as well with the US SEC. The company does not assume any obligation to update any forward-looking statements, except as required under applicable law.  Please note that 36Kr's earnings press release and this conference call includes discussion of unaudited GAAP financial measures as well as unaudited non-GAAP financial measures. 36Kr's earnings press release contains a reconciliation of the unaudited non-GAAP measures to the unaudited GAAP measures. And please note that all amount numbers are in RMB. I will now turn the call over to our Co-Chairman and CEO, Mr. Dagang Feng. Feng, please go ahead.
Dagang Feng:  Thank you. Hello, everyone. Thank you for everyone. Thank you for joining our third quarter earnings conference call.  In the third quarter, as a prominent brand and pioneering platform dedicated to serving new economy participants in China, we witnessed the rise of many new industry segments, including hard-core technologies, new consumption, the dual carbon economy, and the metaverse, a hot topic globally.  The world of venture capital is as exciting and inspiring as ever. In particular, the establishment of the Beijing Stock Exchange has created a more favorable capital raising environment for small and medium-sized enterprises, especially for those specialized, sophisticated, distinctive, and innovative enterprises in China.  Against the backdrop of uncertainties related to COVID-19 resurgences and heavy flooding in some regions of China, we observed many industry leaders actively embracing these changes, quickly adjusting to the challenging macroenvironments and courageously undertaking their corporate social responsibilities.  As we have been for the past eleven years, 36Kr was in the thick of it during the quarter, building connections and communities for industry participants and providing our customers and users with a complete ecosystem of innovative services and content.   In the third quarter, our total user traffic remained at a historically high level, with average monthly PVs jumping to 849 million, up 50% year-over-year. This marks our 14th consecutive quarter of PV growth, a powerful testament to our content's continued user resonance and our growing brand influence. We have expanded our content presentation formats as well as topical coverage to further broaden our well-rounded platform with unique, innovative product and service offerings.   In terms of content strategy, our dual focus on PGC and UGC continued to cater to diverse preferences and meet more user groups' needs across multiple formats, including image, text, audio, short-form video and live streaming. In the third quarter, 185 pieces of content published on 36Kr's WeChat official account had each accumulated more than 100,000 views. More excitingly, the number of content pieces with readership exceeding 200,000 views experienced strong growth, up 124% quarter-over-quarter.  We also continued to expand our content matrix during the quarter and launched Digital36Kr, our official WeChat account dedicated to digital transformation phenomenon and dynamics. In addition, our WeChat account appealing to younger users, Oh! Youth, sported a wide array of trending topic content, further diversifying our user group.  Recently, China's official media outlet, Global Times, picked up our content for the first time. They excerpted and translated our Oh! Youth report White Paper on Staying Up Late, and published to foreign media, which demonstrated our content's rising influence.  As of the end of third quarter, we have expanded our high-quality content offerings have extended to a wider range of areas, including new consumption, auto, real estate, advanced manufacturing, artificial intelligence, new energy, autonomous driving, enterprise services, medical and healthcare, as well as primary and secondary markets related content, all providing the suitability, readability, quality and usefulness that cater to users' diverse needs.  We have been working tirelessly to develop our short-form video business, which we believe will be a new growth engine for both commercialization and user base expansion. We published dozens of short-form videos during the third quarter, attracting more than 6 million followers across all-around online channels. Particularly, our short-form video on in-depth analysis of China's telecommunications industry demonstrated a standout success, accumulating 10 million video viewers across all channels. It was among Bilibili's most popular videos overall and one of the top 3 hottest videos in the knowledge section during the week of its launch. We also created videos in conjunction with Oh! Youth examining the lifestyles of the young generation that attracted an enormous number of video viewership and created Internet buzz.   We also continued to make positive progress in live streaming. For instance, our New Knowledge program, launched in collaboration with Kuaishou, features finance and business breaking news, as well as capital market stories. To this end, we live streamed expert discussions on the latest developments in industries such as commercial aerospace, new e-commerce, new consumption, film and TV entertainment, which engaged a broader user base and generated massive attention. To illustrate, the number of new followers gained from a single live streaming session of New Knowledge program was 30 times higher than our average daily add of new followers, making us an indispensable pan-commercial content provider on Kuaishou.   High-quality content requires omni-channel distribution empowerment. This has been our philosophy from day one. In the third quarter, we produced multiple blockbuster content pieces, with our trending topic content on Zhihu accumulating over 10 million PVs. During the Mid-Autumn Festival, we collaborated with People's Daily, the top official media outlet nationwide, to produce an HTML 5 piece on moon exploration, which garnered 50 million total user exposures.  In addition to well-known platforms such as WeChat, Weibo, Zhihu, Douyin, and Kuaishou, we have also been exploring collaborations with new distribution partners. In the third quarter, we cooperated with renowned mobile phone brands such as Huawei, Xiaomi, OPPO and VIVO to enhance our presence on their display channels and news feeds, which helped the cell phone brands expand pan-commercial content and increased our user exposure among target customers.   We are also making steady progress with our new products. Our secondary market products, launched in the second quarter of 2021, continued to perform well in the third quarter. Following the New Energy Vehicle Industry Summit held in partnership with Industrial Securities, we teamed up with Shenwan Hongyuan Securities to host a forum themed as E-Commerce 4.0 – the Rise of National Brands in the Age of New Consumption. In addition, one of our new products, 36Kr Capital π, featured notable domestic securities companies such as CICC, Industrial Securities and Shenwan Hongyuan Securities to share their investment insights.   Furthermore, we accelerated our coverage of metaverse content in the third quarter. On November 24, 2021, at our dual headquarters in Shenzhen, we held 36Kr's first metaverse focused industry conference, leading with discussions on the extended reality ecosystem and value chain, new social networking in virtual world, and AI and virtual beings. The conference attracted a large cohort of metaverse followers and facilitated connections and communication between metaverse investors and companies.  At this conference, we also announced that 36Kr will launch limited edition digital collectibles in collaboration with Tencent's Huanhe app. 1,124 lucky users will receive a digital collectible to commemorate November 24th, an important milestone in our evolution, the day we started our journey into the exciting, new metaverse concept.   On the international front, we continued to explore overseas business opportunities through our subsidiary 36Kr Global. In addition to Southeastern Asia markets, 36Kr Global made its first foray into Europe, Australia and New Zealand in the third quarter. These horizon expansions are set to facilitate more new economy and tech companies' entry into new international markets. It will also help boost overseas companies' access to Asian markets, thus promoting deeper commercial collaboration between Asia and the rest of the world. Moreover, following our proprietary content's inclusion on Bloomberg Terminal, 36Kr Asia's content was also adopted by Dow Jones, a testament to our growing influence beyond China.  In summary, we are delighted to see 36Kr's product and service offerings have covered the entire enterprise life cycle. Spanning from assisting start-ups in PR exposure, investment and financing, pre-listing consultation and IPO, through that follows post- IPO such as raising stock visibility and building shareholder value, supporting customer acquisition, government incentives, and overseas expansion, we have helped six major customer communities consisting of unicorn and startups, TMT giants, investment institutions, local governments, traditional enterprises and individual clients connect and succeed.  On top of our full-scale presence and sustained development efforts, more and more entrepreneurs and industry leaders value our brand influence, and we have firmly established our position as a leading new economy service provider.   Next, I'd like to share our latest updates with respect to commercialization. During the third quarter, our three major business segments each delivered solid performance and our innovative new business continue making steady strides.   Despite multiple headwinds in the third quarter including COVID-19 resurgence and macroeconomic uncertainties, our advertising business demonstrated its resilience and vitality, achieving solid year-over-year growth in each of the number of advertising customers and average revenue per customer.   We have taken a twofold approach to our advertising business. First, we leverage our content and brand influence to gain market recognition. Second, we continuously explore innovative forms of company promotion to efficiently increase both the number of advertising customers and average revenue per advertising customer.  For instance, in the third quarter, we helped Intel promote its EVO platform-based laptops with short-form videos. Our short-form video team brought the complex technology to life with simple, easy-to-understand visible language, earning accolades from Intel's global team. This collaboration with Intel set a record in our average revenue per advertising customer in a standalone short-form video marketing campaign. We believe that the short-form video model can support us to raise the ARPU and drive commercial collaborations with more prominent international and domestic brands.   In addition to short-form video, we have also been proactively exploring ways to better empower various brands through live streaming content. Our cooperation with Huawei Cloud in the third quarter is a perfect example. By turning a live streaming technical discussion into what looked like a variety show, the new format utilizes fun-filled discussions to present complicated and obscure technologies, facilitating better user comprehension.  Meanwhile, we cooperated with Intel to advertise its corporate clients' practical applications of its technology via live streaming interviews with its channel partners. These innovative forms of live streaming in turn boost our commercialization capabilities.   During the third quarter, we also attracted new advertising partners through our Oh! Youth WeChat account. For example, we worked with Zhihu to advertise its new columns and helped iQIYI promote their new video programs, further amplifying each brand's presence in the marketplace. Oh! Youth's desirability as an advertising partner just shortly after its launch validates that our influence on younger generation has well received and recognized by branded customers.   Turning to our enterprise value-added services, we maintained steady performance during the third quarter while making meaningful progress in innovative new service offerings.   Our third quarter offline activities included September's China Investor Future Summit, which achieved double success in terms of revenue and influence. We invited a distinguished group of mainstream investment institutions to discuss on a set of leading industry sectors including new consumption, hard-core technologies, medical care, carbon neutralization and enterprise services. We also selected 36 extraordinary investors under the age of 36 with our proprietary IP 36 Under 36 survey. With our unique IPs, we effectively established our own VC investor community while also enhancing user stickiness and the repurchase rate.   We also expanded the boundaries of traditional value-added services with our new innovation and entrepreneurship competition service model targeting government clients and large-scale industry leaders. For example, we collaborated with BYD to organize its Developer Innovation Contest, which attracted numerous applications from talented developers and produced countless new solutions for the smart automobile industry. This contest was BYD's first step in the direction of opening up the innovation process, supporting developers to access to BYD's resources and its smart open ecosystem with a win-win arrangement.   On December 13th, we will hold our annual WISE New Economy Kings Conference in Shanghai, with Era of Hardcore as its theme. The conference will feature a comprehensive summary and review of the technology and venture capital industry in 2021, with heavyweights from the venture capital world, unicorns and other well-known companies. At the same time, academia and regulatory authorities will be gathering to share their views. Notably, we are collaborating exclusively with Douyin to promote this conference. Douyin will provide a high level full-platform, custom promotion resource package and traffic support including KOL endorsements.  With 36Kr's leading position in the pan-commercial content industry, our premium content matrix and Douyin's massive traffic, we believe that this year's WISE Conference will again be a major industry influencer and enhance our brand stickiness and commercialization capability.   In addition to offline events, consulting services business is also an important component of our enterprise value-added services. 36Kr Research Institute assists government and corporate clients in targeted industry research and provides customized solutions based on clients' needs.  On the corporate side, we released a smart mobility report in cooperation with Alibaba and helped leading high tech companies such as ByteDance and Xiaomi issue industry research reports.  On the government side, we produced research reports on investment promotion and new development zone construction planning for local governments in Chongqing, Shenzhen, and Hunan, among others, providing enhanced decision-making support.  Notably, in late November, our 36Kr Research Institute became a member of the Arithmetic Research Alliance, which is composed of the People's Data, Boston Consulting Group, Kantar Group, CITIC Construction Investment Research Institute, China International E-commerce and Giant Engine. Being part of this alliance is a testimony to our professional research capabilities with recognition from professional authorities.   Next, I'd like to share the latest updates on our new business, 36Kr Enterprise Service Review Portal. Since its launch in August 2020, we have made continuous efforts to expand it into China's top enterprise service review platform tailored to companies' digital transformation needs. As of the end of September 2021, we have grown the platform to cover nearly 5,000 software applications, greatly broadening its diversity and inclusion.   We also launched new features for the review portal in September, allowing merchants to manage product profiles, publish content, view leads data and contact prospective customers. As of the end of the third quarter, close to 400 merchants had established a presence on the Enterprise Service Review Portal, including well-known manufacturers such as Tencent, Kingdee, Kingsoft Office and Beisen. The merchant-oriented features essentially transformed us from a content-producing portal to a marketplace platform as more merchants and third-party participants are contributing content to our platform, which is facilitating our scale-up efforts and commercialization.  Looking at operating data metrics, average daily active users increased by 109% sequentially and the number of review comments increased by 57% sequentially in the third quarter, primarily due to our platform software expansion and content matrix enrichments. During the quarter, we published a research report on Social Customer Relationship Management private domain traffic operation and marketing design, which showed that customers of the products covered in our report were an average of ten times more willing to leave their personal information on the portal than customers of products not covered in our report. In the third quarter, the average conversion rate of potential customers that provided their personal information rose from 0.08% to 0.24%, a 200% increase. To date, the conversion rate for leads generated on the review portal is already twice than that of leads from public domain traffic. We are convinced that future refinement of the platform will improve customer acquisition efficiency for enterprises and help them better optimize their products based on the growing number of real user reviews.   Last, but not least, let's turn to our subscription service. Throughout our 11-year history, we have both observed and provided exceptional services for New Economy participants' business development. Now, we hope to leverage our expertise and customized service offerings to expedite entrepreneurs' empowerment.  To this end, we continued building our comprehensive training system for enterprises and individual entrepreneurs during the third quarter, recording 52% subscription revenue growth, with a 14% year-over-year increase in the number of institutional customers and a 48% year-over-year increase in average revenue per customer.   Harnessing our commercial experience, we have been working tirelessly to refine our training system as well as our premium knowledge content library for institutional and individual subscribers. We offer online courses to individual users to improve their professional expertise in management, personal financing trend, and career development. We also offer various specialized training programs for institutional subscribers. For example, we launched Venture Capital Class at the end of October to provide a learning platform that accelerates enterprise empowerment and helps enterprises to become industry frontrunners.   In an era of rapid technological change, despite the evolving impact of COVID-19, businesses will never stop innovating and growing. As a witness to this era, 36Kr has been fortunate to accompany a multitude of Internet companies on their development and expansion journey, and we will continue to grow alongside them as we bear witness to the advent of the age of digitization, hard-core technology and the metaverse. The Beijing Stock Exchange will provide a better capital environment for specialized, refined, differentiated and innovative companies, facilitate their growth with a broader playing field, and raise the ceiling of the new economy services sector. As an outstanding brand and innovative platform serving new economy participants, we believe that 36Kr is well-positioned to capitalize on trends in the new era ahead and unlock commercialization potential as we empower more and more new economy enterprises. We are confident that we will help our industry partners ride these waves to future success.   With that, I will now turn the call over to our CFO, Ms. Lin Wei, who will discuss our key financial results. Please go ahead, Lin. 
Lin Wei: Thank you, Pal. And hello, everyone. We are very pleased to have achieved another quarter of solid financial results across all of our business segments, despite multiple headwinds including COVID-19 resurgences and macroeconomic challenges.  As Pal mentioned earlier, our advertising revenues grew steadily year-over-year in the third quarter, with increases in both the number of customers and the average revenue per advertising customer. Also, thanks to our relentless efforts to provide customized and innovative enterprise value-added services, revenues from this segment increased by 57% sequentially.  Notably, our ongoing subscription product optimizations resulted in a strong 52% year-over-year increase in our subscription services revenues in the third quarter. In addition, as we continued to shift our resources and focus on higher margin businesses, we saw continuous improvement in both gross profit and gross profit margin, which expanded to 56.1% from 37.9% in the same period of last year.  I would also like to highlight that we ended the third quarter with a very strong cash position as we achieved positive cash flow from operations. Going forward, we will continue to solidify our industry presence and expand our monetization approaches to cultivate sustainable, long-term growth.  Now, I will walk you through more details of our third quarter 2021 financial results. Online advertising services revenues increased by 4% to RMB 53.4 million in the third quarter of 2021, from RMB 51.1 million in the same period of 2020. The increase was primarily attributable to more innovative marketing solutions we provided to our customers. The number of advertising customers and the average revenue per advertising customer both achieved growth in the third quarter of 2021.  Enterprise value-added services revenues were RMB 22.5 million in the third quarter of 2021 compared to RMB 66.4 million in the same period of 2020. The decrease was primarily due to our continuous shift in focus towards higher margin businesses. Starting from the first quarter of 2021, we ceased to act as a principal in certain low gross margin businesses and acted solely as an agent. As a result, revenues of such businesses were recognized on a net basis from the first quarter of 2021 onward.  To increase comparability of operating results and help investors better understand our business performance and operating trends, we introduced gross transaction value as a supplemental metric to describe our business.  Gross transaction value of enterprise value-added services was RMB 66.3 million in the third quarter of 2021 compared to RMB 66.4 million in the same period of last year. In particular, our consulting services revenues and offline events revenues increased by 14% and 72% year-over-year, respectively, reflecting our expansion efforts in enterprise value-added services have gradually paid off. Subscription services revenues were RMB 9 million in the third quarter of 2021, representing 52% growth compared to RMB 6 million in the same period of 2020. The increase was primarily attributable to our continuous efforts to offer high-quality subscription products to our subscribers.  Total revenues were RMB 84.9 million in the third quarter of 2021 compared to RMB 123.5 million in the same period of last year. Taking into consideration of the aforementioned change in revenue recognition for our enterprise value-added services, where there was RMB 43.8 million variance between net revenues and gross transaction value, investors can actually find out that our overall business trend is upward and demonstrated solid year-over-year growth on a comparable basis.  Cost of revenues was RMB 37.3 million in the third quarter of 2021 compared to RMB 76.6 million in the same period of 2020. The decrease was primarily due to our continuous shift in focus towards higher margin businesses and recognition of certain revenues on a net basis.  Gross profit was RMB 47.6 million in the third quarter of 2021 compared to RMB 46.8 million in the same period of 2020. Gross profit margin was 56.1% in the third quarter of 2021 compared to 37.9% in the same period of last year. The increase was again primarily due to our continuous shift in our focus towards higher margin businesses as well as recognition of certain revenues on a net basis.  Operating expenses were RMB 80.3 million in the third quarter of 2021 compared to RMB 63.2 million in the same period of 2020. Sales and marketing expenses were RMB 35.5 million in the third quarter of 2021 compared to RMB 31.6 million in the same period of 2020. The increase was primarily attributable to an increase in payroll-related expenses.  G&A expenses were RMB 30.9 million in the third quarter of 2021 compared to RMB 20.5 million in the same period of last year. The increase was primarily attributable to an increase in the allowance for credit losses and payroll-related expenses, partially offset by the decrease in share-based compensation expenses.  Research and development expenses were RMB 13.9 million in the third quarter of 2021 compared to RMB 11.2 million in the same period of last year. The increase was primarily attributable to the increase in payroll-related expenses as we bolstered our research and development capabilities.  Share-based compensation expenses recognized in cost of revenues, sales and marketing expenses, research and development expenses, as well as G&A expenses totaled RMB 4.9 million in the third quarter of 2021 compared to RMB 4.6 million in the same period of 2020.  Other income was RMB 1.5 million in the third quarter of 2021 compared to other income of RMB 2.5 million in the same period of 2020. The decrease was primarily attributable to a decrease in the amount of government grant received in the third quarter of 2021.  Income tax expenses were RMB 14 thousand in the third quarter of 2021 compared to income tax expenses of RMB 21,000 in the same period of last year.  Net loss was RMB 31.3 million in the third quarter of 2021 compared to RMB 14 million in the same period of 2020. Non-GAAP adjusted net loss1 was RMB 26.4 million in the third quarter of 2021 compared to RMB 9.3 million in the same period of last year.  Net loss attributable to 36Kr Holdings' ordinary shareholders was RMB 30.5 million in the third quarter of 2021 compared to RMB 14 million in the same period of last year. Basic and diluted net loss per share were both RMB 0.03 in the third quarter of 2021 compared to RMB 0.014 in the same period of last year.  As of September 30, 2021, the company had cash, cash equivalents, and short-term investments of RMB 178 million compared to RMB 149.6 million as of June 30, 2021. The increase was mainly attributable to cash inflow from operating activities.  Lastly, let me provide some updates on our share repurchase program. On May 6, 2020, the company announced that its Board of Directors authorized a share repurchase program under which the company may repurchase up to a total of 1 million of its American Depositary Shares, each representing 25 Class A ordinary shares. As of September 30, 2021, the company had repurchased approximately 786,000 ADSs for approximately RMB 17.5 million under this program.  This concludes our prepared remarks today. We will now open the call to questions.
Operator: . We have the first question coming from the line of Vincent Yu from Needham & Co.
Yang Li: Vincent, we cannot hear you.
Lin Wei: Operator, maybe we'll go to the next question please. And we can go back to Vincent later. Thank you.
Operator: The next question comes from the line of Tang Jing  from CICC.
Unidentified Participant:  My first question is enterprise value added services cover many items. Which one contributes more to the company's revenue and will be the main growth points in the future? And the second question is, under the current macro environment, how is the housing business in the fourth quarter? Thank you.
Lin Wei: This is Lin. I will answer your first question and then Mr. Feng will give you more color on the growth strategies and the second question. Yes, you are correct that our enterprise VAS revenues include basically three subcategories, namely, integrated marketing, consulting and offline events. From the third quarter perspective, you can see that our biggest component for this enterprise VAS revenue actually is consulting and followed by offline events. Consulting services and offline events services account for around 60% and 30% of the total enterprise VAS revenue respectively. And these two revenues also grow on a very fast pace. For example, the consulting services grow actually 14% year-over-year and the offline events revenue grew even faster with a 72% year-over-year growth rate. So, going forward, I think in the near term to mid-term, these two will be the driver for our enterprise VAS revenue.  And certainly, we have been mentioning that our enterprise service review portal a few times, and this is a new, very innovative and promising services that we have been incubating since last August. And this quarter, as Feng mentioned, that this business has achieved a very good performance on all kinds of operating metrics. And this business hasn't been really commercialized, only with very minimal monetization. But in the future, I think, once it's ready and once we commercialize this product, it will be another very big and important growth engine for us.  And then, Mr. Feng will give you more color on your second question.
Dagang Feng:  So the main growth drivers of our enterprise value-added service will be consulting and off-line events. Our main target clients are enterprises and governments, and we already have a mature and scalable business model. We will continue to optimize and innovate products and service offerings to achieve a higher average revenue per customer. In addition, we will continue to increase the coverage of new industries and new segments to expand our customer base. Our local sites will also play to their regional advantages and penetrate the markets of lower tier cities.  It is worth noting that our newly incubated enterprise service review portal is in a process of continuous optimization. We believe it will become one of our growth drivers in enterprise value-added services. As of the end of the third quarter, our portal had 15 major categories and more than 200 segments. Nearly 400 merchants have established a presence on the portal, increased 109% than the second quarter. The portal has showcased nearly 5,000 software applications. The average DAU increased by 109% sequentially and the number of review comments increased by 50% sequentially in the third quarter. All of these operational statistics demonstrated the influence of our platform.  In a challenging macroeconomic environment, we remain cautiously optimistic about the fourth quarter. In the third quarter, the entire advertising industry was under pressure as evidenced by the varying degrees of slowdown or decline in our competitors' advertising business. In contrast, despite the overall industry's slump, our advertising business achieved solid growth year-over-year and quarter-over-quarter in both the number of advertising clients and average revenue per customer, a powerful testament to our brand influence and customer recognition.  The main growth points of our advertising business will be expanding the customer base and increasing the average revenue per user. We will consistently increase our coverage of new industries and new segments, which will help expand our user base. In addition, we will keep diversifying our content and advertising formats, such as short video and live streaming, while we will benefit our customer, which also continue to raise the ARPU.  If there's no large scale COVID-19 resurgence by the end of this year, we believe our advertising revenue for this fourth quarter will continue to grow.
Operator: We have the next question coming from the line of Vincent Yu from Needham & Company.
Vincent Yu:  I have two questions. One is, can management share what are our key revenue contributors in terms of industries as we are seeing that, overall, the China online advertising are seeing some weakness due to various reasons? What do we think our revenue stream come from this quarter and for the next few quarters?  And my second question is on the enterprise value-added service. So, for the number of enterprise value-added service customers, even though they are lower than last year, but for the past three quarters, we are seeing they're steadily improving. Can management shed some light on what's the driver behind this improvement and what we see these trends in fourth quarter and next year?
Dagang Feng:  In terms of total revenue, the top five industries were consumption, lifestyle, investment institutions, entertainment and media, e-commerce and government, totally contributed 57% of total revenue. The top five industries for our advertising clients are consumption and lifestyle, social networking, hardware, e-commerce, and entertainment and media, which contributed a total of 91% of our revenue.  No matter from total revenue side or advertising business side, we have a very healthy mix of customers. When you mentioned here some weakness in the overall China Internet sector, not sure if you mean education sector and online game sector. These two industries are very small part of our business and have no impact on us.  New economy companies do make up a considerable portion of our customer base, but a significant part of our revenue also comes from Fortune 500 companies and traditional companies such as Intel, Huawei, CATL, Haier, . We have a very healthy mix of our advertising clients. The temporary volatility in one sector or industry segment will not have an impact all across.  We will consistently increase our coverage of new industries. Demand for new economy companies emerging from promising industries such as high-end manufacturing and healthcare will be strong and sustained. We will also provide new service and products such as short video, live streaming, and the enterprise service review portal that we mentioned before.
Lin Wei: This is Lin. Actually, I will be answering your second question regarding the enterprise VAS revenue. It's understandable that you got a little bit confusion on the number of enterprise VAS customers and ARPU over there.  I think if you compare on a year-over-year basis, it's not exactly apple-to-apple comparison because if you find out from our prepared remarks, starting from this year, we actually changed our revenue recognition. Last year, we have a big portion of enterprise VAS revenue, namely integrated marketing revenue, actually, we recognized that on a gross basis. And this year, we recognized on a net basis. And we even introduced the GTV growth transaction value to be a more comparable indicator. But if you see from our earnings release, it's not exactly comparable if you look at the number of customers and the ARPU.  But you are also correct that if you are looking at a sequential basis from Q1 to Q2 and from Q2 to Q3, that number, both numbers have been increasing very obviously. That's because we have been shifting away our focus from integrated marketing business, which is a low gross margin business to more higher-margin business, which namely consulting services and off-line events services. And I just mentioned on my answer to the CICC analyst that consulting services and off-line events account for around 60% and 30%, respectively, of enterprise VAS revenues.  And these two also grow very strongly. One, the consulting services grew 14% year-over-year. And the other, the off-line events grew 72% year-over-year. So, that's why this sector has been very strong, and we put a lot of emphasis on that.  If you are asking about the trend in Q4, I understand you are in the States, so you might not exactly familiar with the situation in China. In Q4, there are some upsurges of COVID-19 again. So, there might be some impact on our off-line events. But, overall, I think Q4 is our strong season. So, we still expect growth in this category. But if you look at next year, the full-year 2022, that will be very obvious. This category will be upward trend again. Especially with our new businesses, enterprise services review portal, once that's been commercialized, there will be additional streams revenues coming from these new businesses. That will be in the enterprise VAS category as well. Hope this answers your question, Vincent. 
Operator: We have the next question coming from the line of Peipei Qiu from Industrial Securities.
Peipei Qiu:  Could management give us more color on the development of the short video and live stream parts? And how much does these two new forms contribute to the advertisement sector? How much is ARPU now of these two new forms?
Dagang Feng:  So judging by the third quarter revenue, our revenue from short video and live streaming, both achieved year-over-year growth. So, given the considerable macroeconomic challenges faced by the entire advertising industry, we are quite satisfied with our performance.  Our short video business continued to be a bright spot in the third quarter. So, we helped some customers like Intel promote its product with short form video. Feedbacks are great. And the over RMB 2 million revenues set a record on the short video advertisement average revenue per customer. So, also, other customers like IBM, Ant Financial also start to cooperate with us. So, the short video revenue will be higher than the revenue we earn from the WeChat account. So, in the future, we will be able to raise the ARPU with the short-from video model, and thus to facilitate our penetration among individual customers, also the younger customers and expand our customer base.  So, the next, we will let our CFO to answer some of the proportion of the short video form of the revenue.
Lin Wei: This is Lin. I think the short form media and live streaming are new forms of advertising and grow very quickly now, but in terms of revenue scale, because it's very new and even not yet a year since we launched these businesses. So, right now, they account around maybe less than 10% of total advertising revenue. But the growth rate, again, is definitely outperforming the average growth rate of advertising revenue. So, in the future, it will grow and it will be a bigger percentage of total advertising revenue very soon.
Operator: As there are no further questions, I'd now like to turn the call back to the company for closing remarks.
Yang Li: Thank you once again for joining us today. If you have further questions, please feel free to contact 36Kr's Investor Relations through the contact information provided on our website.
Operator: Thank you. This concludes our conference call today. You may now disconnect your line. Thank you.